Operator: Greetings, and welcome to Haverty Furniture Companies, Inc.'s fourth quarter 2024 earnings call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Hare, Chief Financial Officer. You may begin.
Richard Hare: Thank you, Operator. During this conference call, we will make forward-looking statements which are subject to risks and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only as of the date they are made and which we undertake no obligation to publicly update or revise. Factors that could cause actual results to differ include economic and competitive conditions, and other uncertainties detailed in the company's reports filed with the SEC. Our President and CEO, Steve Burdette, will now provide additional commentary about the quarter. Good morning. Thank you for joining our 2024 fourth quarter and full year conference call. Our fourth quarter sales were $184.4 million, which was down 12.5% with comps down 13.7%. Total written sales were down 6.7%, with comps down 8.7%. Total sales for the year were down 16.1% to $722.9 million and comps were down 16.7%. Gross margins did remain strong for the company, coming in at 61.9% for the quarter, and 60.7% for the year. Our pre-tax profit for the quarter was $9.6 million or a 5.2% operating margin, and for the year, we produced a $26.2 million pre-tax profit or a 3.6% operating margin. We ended the year with zero funded debt and over $120 million in cash. Interest rate cuts late in Q3 and in Q4 have not translated into lower mortgage rates. In fact, we have seen mortgage rates rise, continuing to put in question the affordability of the housing market. Getting the elections behind us was a positive lift, as we saw traffic improve over the quarter, which gave us our first positive gain year-over-year in traffic in the low single digits for the quarter. Conversion rates stabilized over the quarter as we saw written sales improve throughout the quarter. The average ticket rose during the quarter by approximately 4% to just under $3,400. Our design business continued to improve during the quarter to approximately 32% of our business or 15.5% of our tickets driven by our special order business. Our designer average ticket grew to over $7,200, which was up over 8%. The new merchandising team is really collaborating well together as they are actively visiting vendors, stores, and competitors as they look to shore up any holes within our good, better, and best lineups. We continue to see upholstery perform at a high level but also saw a nice lift in bedrooms and mattresses during the quarter. We will begin to roll out our new point of purchase and tagging program to all stores beginning in Q2. This will be a two to three-year project to get fully implemented. It is a collaboration of our merchandising, marketing, and store operation teams and will provide our stores with a revamped mattress department, an enhanced design center to improve the presentation process for our customers, a more centralized area for special order fabrics to improve the ease of choice, and a new tagging system that simplifies for our sales consultants and customers the configurations that are available within the specific collections. During the quarter, our marketing team pushed new technology from Adobe onto our website to improve performance. In fact, after implementing it to the home page, which makes up approximately 20% of our site traffic, we saw a double-digit lift in organic traffic. Our plans are to have this rolled out to all our product listing pages and our product display pages by late Q1. As you know, we brought in our new media partner in April 2024, Carmichael Lynch, who we believe has contributed to the changes in our traffic patterns over the year. They made some adjustments with our advertising mix, moving to more broadcast in some of our larger markets for the bigger events, shifting our digital optimizations from product views to store visits, overhauling our search program, and adding Pinterest in Q4. In early November, we opened new stores in Saint Petersburg, Florida, followed by Greenwood, Indiana, and then in mid-December, we opened The Woodland store, marking our return to Houston after forty-plus years. All three openings are meeting our expectations. In 2024, this totaled six new stores and one closure, giving us a total of 129 stores at year-end. Earlier this month, we opened our second store in Southeast Houston in the Bay Brook Mall area and have planned a relocation of our Daytona store in the Orlando market in Q2. We are finalizing leases to open a third Houston store in late 2025, followed by two additional stores in 2026. This will give us five stores, and our plan is to have six to eight stores to serve the Houston market. Our supply chain team has effectively managed our inventories, reducing them over 11% for the year. However, we see an opportunity to work with partners to increase inventories on our best sellers, which will help us serve our customers quicker. We have relied on our just-in-time system with our partners in a time when there are too many unknowns. To support our new initiative in store growth, we expect inventories to rise approximately 5% to 10% over the next few quarters. On a positive note, we were fortunate to avoid the port disruptions from the potential strike that was looming in January, as it was resolved with no real impact on our flow of products. However, we are dealing with tariff issues with China, Canada, and Mexico. The tariffs have already begun in China, with Canada and Mexico being pushed out to the beginning of March. We are hopeful that this is the administration posturing for other concessions from Canada and Mexico, but we are getting prepared as if this will happen. We are fortunate to have great partners who are willing to work with us as they did in 2018 and 2019. We will have to deal with each of our partners based on their capabilities regarding production and/or pricing opportunities. We will adjust retail pricing or look to reassort the lineup, but do not expect this to impact our current margin guidance or flow of product. Our distribution, home delivery, and customer service teams continue to increase productivity across all areas. We ended the year with just over 2,330 team members, which is approximately down 9.5% from year-end 2023. I am expecting to see this number increase in 2025 as we continue to grow. I want to conclude by recognizing all our team members as we celebrate our 140th year in business. This is something special. As we continue to do the same thing today that we did 140 years ago, but with different people and different assets. We remind our team members every day that at the point of contact with a customer, you are Haverty Furniture Companies, Inc. Our team is committed to getting our company back to a billion dollars. I will now turn the call over to Richard.
Richard Hare: Thank you, Steve. As we reported in the fourth quarter of 2024, net sales were $184.4 million, a 12.5% decrease over the prior year. Comparable store sales were down 13.7% over the prior year period. Our gross profit margin decreased 50 basis points to 61.9% from 62%. The decrease was driven primarily by the change in the LIFO reserve, which generated a $900,000 positive impact on gross profit margins in Q4 of 2024, compared to a positive impact of $2.8 million in the fourth quarter of 2023. Excluding the impact of our LIFO reserve, our gross margins increased 40 basis points over the prior year quarter. Selling, general, and administrative expenses decreased $8.9 million or 7.7% to $105.8 million. As a percentage of sales, these costs approximated 57.4% of sales, up from 54.4% in the prior year quarter. We experienced decreased selling costs, advertising, administrative, warehouse, and delivery costs during the quarter. Our other income expense in the fourth quarter of 2024 was $200,000 in interest income, which was approximately $1.5 million. Income before income taxes decreased $8.9 million to $9.6 million. Our tax expense was $6.2 million for the calendar year, which resulted in an effective annual tax rate of 23.6% compared to an effective tax rate of 22.5% in the prior year. The primary difference in the effective rate and the statutory rate is due to expected state income taxes and nondeductible items. Net income for the fourth quarter of 2024 was $8.2 million or $0.49 per diluted share of our common stock compared to net income of $15 million or $0.90 per share in the comparable quarter last year. Now turning to our balance sheet. At the end of the fourth quarter, our inventories were $83.4 million, which was down $10.5 million from the year-end balance of last year and down $5.3 million versus the Q3 2024 balance. At the end of the fourth quarter, our customer deposits were $40.7 million, which was up $4.9 million from the December 31, 2023 balance and down $3.2 million versus the Q3 2024 balance. We ended the quarter with $120 million of cash and cash equivalents, and we have no funded debt on our balance sheet at the end of the fourth quarter of 2024. Looking at some of our cash flow usage, CapEx was $32.1 million for the year in 2024. We also paid out $20.5 million of regular dividends in the 2024 calendar year. We did purchase approximately $5 million of common shares under our share repurchase program during the fourth quarter of 2024, and we have approximately $8.1 million of existing authorization in our buyback program. Our earnings release lists out several additional forward-looking statements indicating our expectations of certain financial metrics. We will highlight a few, but please refer to our press release for additional commentary. We expect our gross profit margins for 2025 to be between 60% and 60.5%. We anticipate gross profit margins will be impacted by our current estimates of product and freight costs. Our fixed and discretionary type SG&A expenses for 2025 are expected to be in the $291 to $293 million range, which is an increase over the prior year resulting from our store growth and inflation. The variable type cost within SG&A for 2025 are expected to be in the range of 19% to 19.3%. Our planned CapEx for 2025 is $27.1 million. Anticipated new or replacement stores, remodels, and expansions account for $22.7 million. Investments in our distribution network are expected to be $1.8 million, and investments in our information technology are expected to be approximately $2.6 million. Our anticipated effective tax rate in 2025 is expected to be 26.5%. This projection excludes the impact of vesting of stock awards, discrete items, and potential new tax legislation. This completes my commentary on the fourth quarter financial results. Operator, we would like to open up the call for questions at this time.
Operator: Thank you. We will now be conducting a question and answer session. A confirmation tone will indicate that your line is in the question queue. You may press star two if you would like to remove your question from the queue. One moment, please, while we poll for questions. Our first question comes from Anthony Lebiedzinski with Sidoti & Company. Please proceed with your question.
Anthony Lebiedzinski: Thank you, and good morning, everyone, and thanks for taking the questions. So, yeah, thanks for sharing some of the color about the traffic trends and just curious if you could provide maybe more details as to, you know, maybe put some numbers as far as what you saw in the monthly trends either for written sales or delivered sales, however you want to address those. Just curious to get, you know, comments on that?
Richard Hare: Sure. Good morning, Anthony. It's Richard. On the delivered side, it was pretty consistent during the quarter. October, November, December, we're down in the low teens. You know, the average was 12.5% for the quarter. On the written business, it was a little different. We were down low teens in October, mid-single digits in November, and then we were almost flat in December in terms of written business, and then the quarter, as you know, was down 6.7%. So we saw a nice delta there in the last month of the year.
Anthony Lebiedzinski: Gotcha. Alright. That's definitely reassuring. And has any of this positive momentum carried over into the first quarter, or if you, I don't know if you can comment on Presidents' Day holiday, which is an important holiday or how many?
Steve Burdette: You know, Anthony, I appreciate your persistence on trying to get us to give guidance. You know, we don't talk about the current quarter and what's going on there. So, you know, we're going to maintain that stance. We're not going to comment on Q1.
Anthony Lebiedzinski: Alright. I figured I would try, but alright. And then, you know, just in terms of, you know, regional differences, did you see much in the fourth quarter, much variation, or was it consistent also throughout the Haverty Furniture Companies, Inc. operating area?
Steve Burdette: We did see some. I mean, Florida has seen a little bit of a bounce back, obviously, and kind of up to the central part of the country. A little bit of the west and the east has been a little bit weaker, but not a huge difference though between all of them. But certainly, Florida up through Georgia and the central part has been a little bit stronger.
Anthony Lebiedzinski: Alright. Thanks, Steve. And my last question before I pass it on to others. So in terms of your gross margin guidance, you mentioned product and freight costs. Can you expand on that and also share with us what you're thinking as far as, you know, what the potential impact from tariffs might be?
Richard Hare: Yeah. So let me start and Steve can finish. So we, as Steve indicated in his remarks, you know, we're going to mitigate the tariff impact on our margins. So we will work with our vendors and take the appropriate steps in terms of our relations with them. And then if we have some exposure there, we'll certainly pass that along in terms of our retail pricing. So we've got some experience with that. We've, as you said, in 2018 and 2019. And then on the normal product cost in freight, we know, in the prior years, I think we've kind of indicated the margins were going to go up. I think we're saying, you know, we feel like they're going to be stable in 2025.
Steve Burdette: Yeah. And I think, Anthony, we are committed to driving volume. And so we are comfortable where the margins are, and we want to try to use every lever we can to try to do what we can do to try to move the volume needle and then get us back into a positive territory. So that's kind of why we maintained our flat margin guidance on that side going forward. And as Richard said on the tariffs and as I mentioned to you, we will make our adjustments. Our merchandising team is already working on that. Obviously, that will change. You know, Canada is not much of an impact on us. Mexico will be a bigger impact. But we will either look to reassort or work with our vendors to make pricing adjustments and, you know, move forward with that. But we do not see any of that having an impact on our margins. Margin guidance going forward?
Anthony Lebiedzinski: Understood. Well, thank you very much and best of luck.
Steve Burdette: Thank you.
Richard Hare: Thanks, Anthony.
Operator: Our next question comes from Cristina Fernández with Telsey Advisory Group. Please proceed with your question.
Cristina Fernández: Thank you. Good morning, everyone. I wanted to see if you could talk more about the demand environment you expect in 2025. It's positive to see traffic improve and the sequential improvement through the fourth quarter. But at the same time, you talked about, you know, higher mortgage rates and the impact that's having on affordability. So I guess based on what you've seen, you know, in the fourth quarter and to date, I guess, how are you thinking about the demand environment for 2025?
Steve Burdette: I think we think, Cristina, this is Steve. And we believe it's still going to be tough. I mean, I don't think there's any question about it. I mean, housing is still a struggle. The election is behind us. And as we move forward in 2025, you're dealing with, you know, as after the inauguration, you know, a lot of tense things going on or change going on with the wielding of the pen from the president. And so, you know, we'll have to just see how things proceed forward, and then obviously, all the talk about tariffs that's not helping things. It's getting people in, you know, to place. To where they are from tariffs of 2018 and 2019, it's not the same deal. There, we were dealing with production and moving. We don't have those kinds of disruptions that we would expect out of these tariffs and, obviously, the China tariffs are already in place. So, you know, we feel like it won't be any disruption of product flow like we experienced in 2018 and 2019. So there'll be no supply issues going in 2025, which will be a positive. You know, we hope certainly as we move toward the latter part of the year that we see things start to ease, the Fed makes some cuts, and, you know, we see a relief in mortgage rates and we see a little bit of a bounce. But you know, that's kind of our, it's an industry overview, and I guess things you've gathered from others that you've already heard from.
Cristina Fernández: Yes. That's helpful. And as you think about capitalizing on that traffic increase, what's the biggest challenge you did, I guess, is it conversion? That's really, I guess, preventing from translating more of that traffic increase into orders.
Steve Burdette: Well, obviously, we're not having an issue with ticket. We continue to drive average ticket. It's nice to see the traffic trends starting to improve. And we'll see how those move forward into 2025. You know, so I do believe that conversion is still our opportunity. And we're working with our teams and we're testing things as outlined with you to see what we can't do to move that needle. And we'll have hopefully more to report to you when we give you a Q1 update on how those tests are working.
Cristina Fernández: And then my last question is on the fixed SG&A guidance, it's about a 4% increase year over year. So could you give some details about what's driving that? I guess, where are the buckets that you're seeing inflation in and how many stores do you plan to open this year?
Richard Hare: Yeah. So our goal is to open five. We've got a few that we've already announced, but that's our standing goal. In terms of the fixed non-variable piece, the guidance is $291 to $293 million. It is within that range of a 4% to 5% increase. In terms of the buckets, I'd say half of that is just general inflationary and then the other half, I'd say, is around $4 million or so is occupancy cost. We have new stores that we opened up in the latter part of last year and the ones we just announced. And then we're also planning on spending some additional funds in advertising and marketing in 2025. On the variable piece, you know, we came in at, I think, 18.9% in the fourth quarter, and so we ended the year at 19.3%, so we're pretty comfortable with the 19% to 19.3% for 2025 on the variable side.
Cristina Fernández: Thank you.
Steve Burdette: Thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Steve Burdette for closing comments.
Steve Burdette: We're excited for 2025 as we build on our 140-year brand strength, debt-free financial position, increasing store count, and expanding design business appeal. We look forward to talking with you in the future when we release our first quarter results later this year. Thank you, Operator.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.